Operator: Ladies and gentlemen, thank you for standing by. Welcome to the American Tower Second Quarter 2021 Earnings Conference Call. As a reminder, today’s conference call is being recorded. Following the prepared remarks, we will open the call for questions.  I would now like to turn the call over to your host, Igor Khislavsky, Vice President of Investor Relations. Please go ahead.
Igor Khislavsky: Good morning, and thank you for joining American Tower’s second quarter 2021 earnings conference call. We’ve posted a presentation which we will refer to throughout our prepared remarks, under the Investor Relations tab of our website, www.americantower.com.
Tom Bartlett: Thanks, Igor. Good morning, everyone. I hope that you are all healthy and well. As is typical on our second quarter calls, my remarks today will center on our international business, which now spans more than 171,000 communication sites, and accounted for 37% of our property segment gross margin in the second quarter. Given our recent Telxius transaction, I'll focus much of my commentary on our European portfolio. But I do want to first cover some of the key tenants that drive our global strategy and touch on a few important metrics for our international business as a whole. Since entering Brazil and Mexico more than two decades ago, to provide geographic diversification to our foundational U.S. assets, we've oriented our international growth around partnering with large multinational wireless carriers in select markets, with strong property rights solid rules of law in vibrant wireless industries. Since day one, our international expansion mandate has been clear. Acquire, construct, and market franchise real estate assets to drive strong organic growth, long term margin expansion and compelling total returns. And do so with an emphasis on building leading market positions in the largest democracies around the world, in various stages of wireless technology development, all while driving enhanced connectivity for billions of people and being a good corporate citizen. Bottom line, our goal was to replicate the model we built in the United States to increase the slope of the growth curve and extend it.
Rod Smith: Thanks, Tom. And thank you, everyone for joining today's call. I hope you and your families are well. As you saw in our press release, we had a strong second quarter, driven by solid global demand for our communication sites as carriers continued to deploy meaningful capital to augment and extend their networks. We expect carriers across our global portfolio to spend upwards of $70 billion in CapEx for the full year, which is expected to support attractive growth for our global business. Before getting into the details of our second quarter results and raised full year outlook, I want to touch on a few key achievements for the quarter. First, we closed on approximately 27,000 sites across Europe and Latin America, as part of our Telxius acquisition, and are on track to add the remaining 4,000 or so, German rooftop sites in early August. Overall, including the Telxius deal, other small scale M&A in our new build program, we expanded our global site count by nearly 15% in the quarter. Second, we financed the Telxius transaction in what we believe to be an optimal way, including agreements to add CDPQ and Allianz as strategic minority partners in Europe. We also raised approximately $2.4 billion in the euro debt markets at highly attractive rates, and issued more than $2 billion in common equity. We are well-positioned to continue to deploy growth capital, while at the same time effectively managing our leverage and maintaining our strong investment grade balance sheet. Finally, as expected, demand for both existing and new assets across our global footprint accelerated in the quarter, with sequentially higher organic growth and continued strong new build activity. In addition, we booked a record quarter in our U.S. services segment, reflecting an attractive demand environment that combined with our existing comprehensive MLAs is expected to drive higher levels of gross new business in our property segment in the coming quarters. With that, please turn to Slide 6, and I'll review our Q2 property revenue in organic tenant billings growth. As you can see, our consolidated property revenue of $2.2 billion grew by approximately 18% year-over-year, or nearly 16% on an FX-neutral basis. This included U.S. property revenue growth of 13%, and international property revenue growth of 24% or 19% on a constant currency basis. These growth rates reflect the advantages of our global diversification and our ability to benefit from multiple concurrent deployments of network technology around the globe. Growth was also favorably impacted by one month of contributions from the Telxius sites. U.S. M&A transactions that closed late in 2020, higher levels of pass-through and straight line revenue, and some non-recurring settlements in revenue reserve reversals. Moving to the right side of the slide, organic growth was again a significant contributor to our overall revenue growth. On a consolidated basis, organic tenant billings growth was 4.8%, reflecting a sequential acceleration of around 70 basis points. This included a step up in our U.S. and Canada growth from 3.6% last quarter to 4.4% in Q2, driven primarily by the flow through of activity under our comprehensive MLAs. We saw a nearly 20% sequential acceleration in the contribution of colocations and amendment activity to organic tenant buildings growth. Escalators were over 3%, and churn was 1.9%. 5G activity in the marketplace continues to advance, and all of the major U.S. carriers were active in their deployments during the quarter. Outside of the U.S. and Canada, we drove organic tenant billings growth of 5.3%, up from 5% last quarter. Latin America led the way with organic tenant billings growth of 8.4%, driven by solid new business commencements and higher escalators, primarily in Brazil. Organic tenant billings growth across our African markets was 8.2%, including 11% growth in Nigeria, where we continue to benefit from an MLA site last year with a major customer. We also had a solid quarter in Europe, with organic tenant billings growth rising more than 100 basis points sequentially to 4.4%. Notably, our legacy German business drove gross organic growth of more than 8%, driven by accelerating 5G deployments and continuing investments in 4G. Meanwhile, in India, we saw an organic tenant billings decline of 1.7%, essentially flat to the first quarter. This included fairly healthy gross new business activity, but also continued elevated levels of churn. Turning to Slide 7, our Q2 adjusted EBITDA grew nearly 22% or around 20% on an FX-neutral basis to $1.5 billion. Adjusted EBITDA margin was 64.2%, up 90 basis points over the prior year, driven by continued organic growth, prudent cost controls throughout the business and benefits from higher levels of straight line revenues. Cash, SG&A, as a percent of total property revenue was around 7.7%. Moving to the right side of the slide, consolidated AFFO growth was nearly 19%, with per share growth of about 17%. Continued solid organic trends, contributions from our newly acquired and constructed assets, and cost controls throughout the business, along with cost efficient balance sheet management, and about $20 million in FX favorability, were the main drivers of this growth. On an FX-neutral basis, consolidated AFFO growth would have been over 16%, and consolidated AFFO per share growth would have been around 15%. AFFO attributable to AMT common stockholders per share was $2.39, reflecting a year-over-year growth rate of right around 19%. Let's now turn to our raised outlook for the full year. I'll start by reviewing a few of the key updated assumptions. First, we have layered in the impacts of the more than 27,000 Telxius sites we have close to-date, as well as the remaining 4,000 Telxius rooftop sites in Germany that we expect to purchase in the first week of August. Second, we have assumed that our agreements with CDPQ and Allianz close in mid-Q3. We expect to receive over $3 billion in total proceeds from these transactions. And after the closing, CDPQ will own 30% of ATC Europe, with Allianz owning 18%. This is higher than the initial 10% that we discussed, as Allianz has exercised its option to increase its stake in the business. Additionally, PGGM has converted its prior holdings in ATC Europe to minority stakes in our local German and Spanish operating companies. Given this more meaningful minority interest component, we have added net income attributable to AMT common stockholders and AFFO attributable to AMT common stockholders as outlook metrics, and would expect to feature both in our financial reporting going forward. Finally, as a result of recent favorable FX trends in many of our markets, our current outlook reflects positive FX impacts of $41 million for property revenue, $26 million for adjusted EBITDA, and $20 million for consolidated AFFO, as compared to our prior expectations. With that, let's move to the details of our increased full year expectations. As you can see on Slide 8, we are now projecting consolidated year-over-year property revenue growth of nearly 14% at the midpoint, up 6% versus our prior outlook. The increase includes approximately $383 million in total revenue from Telxius, including $141 million in pass-through. Further, we now expect about $58 million in additional pass-through revenue throughout the rest of the business, mostly due to higher fuel prices in India, as well as $19 million or so in higher global straight line revenue. Moving to Slide 9, you'll see that as part of our property revenue outlook increase, we are raising our organic tenant billings growth projections on a consolidated basis to around 4%, up from between 3% and 4% previously, as a result of higher growth expectations internationally. In the U.S., we're maintaining our projections for approximately 3% organic tenant billings growth, including the impacts of sprint churn in Q4. We continue to expect 5G deployments to drive accelerating gross new business activity, and believe we have a long runway of solid growth ahead of us, as carriers invest in network densification over a multi-year period. In Latin America, we're raising our organic tenant billings growth expectations to over 7% for the year, as customers continue to increase their mobile data usage, and carriers respond with incremental network investments, despite some continued challenges associated with COVID-19. As compared to our prior outlook, we now expect slightly lower churn across the region. Although, we do still expect churn to trend higher in the back-half of the year, as some carrier consolidation occurs in markets like Mexico. We continue to drive value additive contractual arrangements in the region, and recently signed a significant colocation deal with a major customer in Colombia, which we expect to inflect growth higher in that market in the coming quarters. Meanwhile, in Africa, we are reaffirming our expectations of organic tenant billings growth in excess of 8%, as we continue to see encouraging leasing trends in the region. As I alluded to earlier, growth rates in Nigeria are especially strong, where we are continuing to benefit from an MLA signed last year with a major customer. This, along with solid trends in other African markets are expected to drive an acceleration in regional organic tenant billings growth to above 9% in the second-half of the year. Moving on to Europe, we now expect organic tenant billings growth of over 5% for the full year, up around 150 basis points versus our prior outlook. This is being driven primarily by two factors. First, we expect higher levels of gross new business and our legacy Europe business, where we're continuing to see strong 5G-driven activity, particularly in Germany. Organic tenant billings growth for our legacy European assets is now expected to come in at above 4%, up more than 50 basis points as compared to our prior expectations. Second, the colocation and amendment growth that we expect to see in the second-half of the year on the Telxius assets, which is included in our organic tenant billings growth metric is driving another 100 basis points or so of upside. We view this expected activity as reinforcing our long-term expectations for compelling growth on the Telxius assets. Finally, in India, we continue to expect roughly flat organic tenant billings for the year. We are seeing encouraging levels of gross activity in the market, but also continued elevated levels of churn. And, while we remain optimistic that the market will return to solid growth over the long-term, we're not expecting a significant inflection point in growth in 2021, which is consistent with our prior outlook. Moving to Slide 10, we are raising our adjusted EBITDA outlook, and now expect year-over-year growth of nearly 15%, including a $183 million contribution from the Telxius assets, roughly $26 million in positive translational FX impacts as compared to our prior outlook, and about $20 million in higher net straight line. In addition, we now expect $25 million in incremental expected services gross margin, as services activity in the U.S. continues to outstrip our expectations. For the year, we expect to book roughly $105 million in services operating profit from total services revenue of $220 million. These positive items are being partially offset by roughly $30 million in incremental bad debt assumed for the full year, the majority of which is in India. Overall collections trends in the market remain solid, but we are taking a slightly more conservative approach for the back-half of the year within our projections. The remaining bad debt is focused in Mexico, where Altan has recently filed for the equivalent of Chapter 11 Bankruptcy. Given its government backing and recent progress within the business, we remain optimistic on the prospects of collecting billings with Altan in full, but because we expect the collections to be slow, we have made the bad debt entries for now, consistent with our historical approach in similar instances. Turning to Slide 11, we are also raising our expectations for full year consolidated AFFO, and now expect year-over-year growth of nearly 14%, with an implied outlook midpoint of $9.50 per share. The flow through of incremental cash adjusted EBITDA, as well as around $20 million in FX tailwinds are being offset by approximately $15 million $31 million $25 million in incremental maintenance CapEx, cash taxes and net cash interest expense respectively, primarily driven by the Telxius transaction. On a per share basis, we now expect growth of right around 12% for the year. Finally, AFFO attributable to ATC common stockholders per share is expected to grow by nearly 10% versus 2020. This takes into account the expected closing of our transactions with CDPQ and Allianz in mid-Q3, and the corresponding minority interest impacts. The growth rates for the attributable metric is about 2% lower than our projected consolidated AFFO per share growth, primarily due to the fact that the one-time cash interest expense item associated with our prior African joint venture in 2020 did not apply to the AFFO attributable to ATC common stockholders. Notably, across both of these metrics, we are well-positioned to meet our target of driving double digit growth for 2021. Moving on to Slide 12, let's review our updated capital deployment expectations for 2021, which now contemplate the Telxius transaction and reflect our consistent focus on driving strong sustainable growth in AFFO per share. First, we continue to expect to dedicate approximately $2.3 billion towards our dividend in 2021, implying a year-over-year growth rate of around 15%, subject to board approval. With regards to CapEx, we are raising our overall projections by $125 million at the midpoint. This includes around $65 million in startup CapEx attributable to the Telxius sites, as well as $65 million in additional deployment CapEx as part of our revised expectations of constructing 7,000 sites this year, up from our previous outlook of 6,500. We continue to drive highly attractive returns through our new build program. And including our revised 2021 expectations, we have added around 24,000 new sites since 2016. Notably, our average day one NOI yields on builds so far this year have been 11%. We are also adding $15 million in maintenance CapEx, as we are accelerating a few maintenance projects over the rest of the year. This has been partially offset by about $20 million in lower anticipated land CapEx. On the acquisition front, we have deployed just under $9 billion so far this year, primarily on the Telxius transaction, and expect to spend another $600 million in early August to purchase the remaining 4,000 Telxius rooftop sites located in Germany. Of our nearly $14 billion in expected capital deployments for the year, over 80% is composed of discretionary CapEx and M&A. On the debt side of the equation, we ended the second quarter with net leverage of 5.7 times, and expect that metric to trend down into the mid 5 times range after closing the CDPQ and Allianz stake sales. We remain firmly committed to our investment grade rating and continue to expect that solid long-term adjusted EBITDA growth will allow us to naturally delever to the upper end of our 3 to 5 times range over a multi-year period. Over the next few quarters, we expect to be opportunistic in evaluating the potential benefits of terming out a portion of our floating rate debt into long-term fixed rate instruments, as we continually work to optimize our balance sheet. Looking back over the last decade, we have utilized this strategy to essentially reduce our weighted average cost of debt by half to 2.4% as of Q2. Turning to Slide 13, I want to take a few minutes to highlight several elements of our disciplined capital deployment strategy, honing in on two international regions where we have been quite active recently, Europe and Africa. Since the end of 2019, our most transformational international investments have been in Africa through our acquisition of Eaton Towers, and most recently in Europe through the Telxius deal. As the charts to the left shows, organic colocations and amendment contributions in both regions have been accelerating. More importantly, we expect gross colocation and amendment activity to remain at elevated levels over a multi-year period, positioning us well to drive strong growth and attractive returns across our recently acquired assets in both regions. In addition to acquiring high-quality strategic site portfolios, we've also been ramping up our new build programs across both regions, as you can see in the middle chart on the slide. In fact, we've gone from constructing an average of less than 100 sites annually back in the early 2010, to a forecast of around 1,600 sites in 2021, primarily in Africa. Importantly, the return characteristics of these builds have remained extremely attractive, with average day one NOI yields of approximately 10% expected this year. As you can also see, yields have risen sharply on older vintages of new build sites, as a result of the strong lease up trends I just mentioned. And we expect to continue to drive meaningful colocation and amendment revenue on our new build sites in the future. Further, we continue to focus on building and leasing sites to high-quality large investment grade tenants, who we believe will drive the bulk of the network investments in these regions for the foreseeable future. We anticipate the demand for new builds across Africa, and also in Europe, where we have inherited a robust pipeline with Telefonica as part of the Telxius acquisition to remain strong, as carriers address their coverage and capacity needs to meet 4G and 5G demand. We are also focused on growing our business sustainably, while driving industry leadership and innovation. A perfect example of this is what we've been doing in Africa with energy efficiency and renewable energy, where by the end of 2021, we will have invested upwards of $250 million on lithium ion batteries, solar power solutions, and other energy efficient technology. While we are still fairly early in the overall progression of these investments, the initial results have been compelling, with average diesel consumption per site declining by around 35%, coupled with improved battery and generator efficiency, and elevated uptime levels that we believe are best-in-class. Through these initiatives, not only are we earning an attractive return on investment, but we are also helping to build and enhance a sustainable global digital ecosystem. This approach to capital deployment in Africa and Europe is indicative of our overall global investment philosophy. We continue to look for compelling opportunities to deploy capital in responsible sustainable ways, where we can generate attractive long-term returns and solid growth, while partnering with large multinational mobile network operators, as they bring enhanced connectivity to their customers. And we believe that the global diversification that we've built into the business will benefit us for years to come. Finally, on Slide 14 and in summary, Q2 was another quarter of solid organic growth, margin expansion, meaningful new build activity and consistent dividend growth. This was achieved while closing on and beginning to integrate the vast majority of our Telxius acquisition, issuing over $2 billion in euro denominated debt at record low rates, completing a successful common equity issuance, and partnering with two world-class strategic investors in CDPQ and Allianz. For all of this, I'd like to offer a huge thank you to our nearly 6,000 global employees, including those who have recently joined us from Telxius. Their hard work, unwavering dedication, and numerous talents have positioned us extremely well to continue driving compelling total returns for our stockholders. We look forward to finishing 2021 strong and are more excited than ever about our long-term growth trajectory, based on the continuing global rise in mobile data demand and our durable competitive advantage throughout our served markets. With that, I'll turn the call back over to the operator for Q&A.
Operator:  And our first question goes to the line of Ric Prentiss with Raymond James. Please go ahead.
Ric Prentiss: Thanks. Good morning, guys. Busy summer for you guys.
Tom Bartlett: It has been.
Ric Prentiss: I appreciate you guys breaking out the guidance between consolidated and proportionate. AFFO. I think as you know that's where the three things we adjust from AFFO to FAD. But looking at that item, the 110 million minority interests adjustment for calendar ’21, how should we think about what that magnitude looks like? We have a full year of the minority interests in Europe, just as we think into ‘22 or ’23, what should that delta be looking like?
Rod Smith: So that one there, Ric, let me give you the big pieces of what's actually driving those numbers. And of course, it's Telxius is in there for the proportionate share of 2021. So, of the 110 million roughly, the vast majority of that of course was all in the Telxius. The only other one is with Telxius, and then PGGM of course, which we now gone in our Germany and Spain areas. And then we have the small minority interest in India, that's about 8% of the business there. So the way to think about the 110 million, roughly 85 million of that are so is Telxius, the remainder is India. So think about the 85 million being in for roughly, I guess, seven months of the year, and then you can extrapolate from that. But, of course, Telxius is going to grow into next year. We're not giving guidance next year, but that'll give you some indication of kind of where to head and put it in the right magnitude.
Ric Prentiss: Sorry, Tom, but that seven months for Telxius or mid-third quarter?
Rod Smith: I'm sorry, Ric, I missed the question.
Ric Prentiss: So Telxius for seven months, or is it just mid-third quarter? We would be more like five months in there.
Rod Smith: Mid-third quarter.
Ric Prentiss: Okay. I'm sorry, Tom, go ahead.
Tom Bartlett: I was just going to say, Ric, if you kind of step back and think about it, going forward, my senses will be really proportional to 2021 going forward. So, unless some other M&A transaction drives kind of a similar a mix of allocated capital as Telxius, but my sense going forward will be similar to ‘21.
Ric Prentiss: Okay. One of the other things we adjust from AFFO to FAD is prepaid amortization of revenue. And we like the fact that you guys exclude that from your organic growth. That non-cash prepaid amortization revenue did tick up in the quarter. It looks like spike in Europe as well. $48 million in the quarter for this non-cash prepaid amortization revenue item. Is that something also we should think? Is that like a good run rate going forward maybe $15 million a quarter $200 million for a year?
Rod Smith: Yeah, I think there's nothing significant there that's going to vary. So I think you can think about that as a run rate going forward for at least the foreseeable future here. Of course, there's so much changes and as we do things back a change, but barring any other material changes that could drive that, you can think about that as a run rate.
Ric Prentiss: Okay. It makes sense. Obviously, much lower than where your peers is looking about $550 million a year on that non-cash item. But appreciate the breakout on these items and stay busy and well.
Tom Bartlett: Thanks, Ric, you too.
Operator: And our next question is from Simon Flannery with Morgan Stanley. Please go ahead.
Simon Flannery: Good morning. Tom, I wonder if you could just give us a little bit of color, you've done a lot of deals. How does the Telxius initial integration go? Any kind of initial learning solution reactions there? And I think you also made some comments in your opening remarks about new growth areas, one of them being private networks. We've seen electric utilities sign some deals to work with private spectrum. Where are you seeing most interest there? And when do you think that starts to scale?
Tom Bartlett: Hey, thanks, Simon. I hope you're doing well. On the integration front, it's going very, very well. We do have a lot of experience with these types of transactions. But I'm really proud of the teams working through obviously a difficult pandemic, in terms of getting things done. But all early signs are really positive for us. The people, the teams, the expertise, you've seen some of the outer sides even results in the quarter, and the expectation for the year, as a result of what we're seeing in both of those critical markets. For us, from a European perspective, the TAM is large, we see new spectrum being deployed. So 5G growth is strong. The organic growth that we see, and particularly even in Germany, is stronger than we originally even had thought. And from a portfolio perspective, we had done a lot of due diligence, as I mentioned, and as Rod mentioned, on the sites themselves. We know them quite well. And they are continuing to perform just like we thought. So as I said, in my remarks, in our view, this was the best portfolio there with a really solid high-quality anchor tenant. So everything is going very, very well for us. And we're expecting a good strong year and then obviously strength going into ’22. I think the organic billings growth is going to continue to uptick. And it will be stronger at the back-end of this year, leading us into providing great foundation for growth in ‘22. So really all very positive. On the private network side, and we continue to look at a number of different initiatives utilizing different spectrum. And so, I don't know how quickly they're going to be rolled out candidly, Simon, and we're participating, as I said, we have a sizable group, looking at what the opportunity could be. We have significant Dash networks, as you well know, and we're really looking at how can we migrate them to kind of the next technology. We'd like to be able to lower the overall cost in the venues that we're in. And so we're looking at available spectrum and looking at technology, but we're still really in the early stages of that deployment. We're in the CBRS Alliance as you well know, and taking advantage of that knowledge and seeing whether there are opportunities, leveraging that technology, that spectrum, to be able to even increase the overall value proposition that we have for our customers.
Simon Flannery: Thanks a lot.
Tom Bartlett: You bet.
Operator: And our next question is from Matt Niknam with Deutsche Bank. Please go ahead.
Matt Niknam: Hey, guys. Thank you for taking the question. Two on the U.S. First off, just I guess, broadly, nice bump up sequentially in terms of colo and amendment activity. I'm just wondering, could give us any more color in terms of drivers, whether it's broad based across carriers, and how to think about the potential for sort of incremental improvements from here? And then within that, maybe just thinking about dish on a more go forward basis, any updates you can give us in terms of discussions you're having with them. And does the new agreement they've got with AT&T impact, if at all, how you think about their network builds opportunity? Thanks.
Rod Smith: Hey, Matt. Good morning. I'll start here and Tom can jump in as we go. So yes, we are seeing an uptick in activity in the U.S. as you suggested. We expected that, so we're actually realizing kind of what we expected. When you look at the full year in terms of the gross new business that we expect to drive in the U.S. on an incremental monthly run rate, we expect that to be more than a 20%, 25% growth rate for the U.S. So we expect that kind of monthly run rate addition to be strong. It is broad base, so we see activity through all the carriers. The one thing that I would point out is, with dish we will see revenue from their activity on our organic tenant billings really begin to impact the numbers in 2022, not so much in 2021. But they're certainly out active doing the planning for their network, they're active in our services business, which you saw the numbers this morning, we're increasing our services outlook to $220 million, that's up again from our prior outlook from $175 million, which was up from our original $100 million and $200 million. So that's the early indication of where you're seeing that that level of activity. But we're excited about what we see in the U.S. We're excited about that incremental monthly run rate gross new business growth of north of 25%. And, we do think that, given the new C-Band spectrum and everything that's going on that we're at the beginning of a multi-year stretch of activity that we expect to see in the U.S.
Matt Niknam: Rod, can I just follow-up also on services. I think the implied margin is about -- it's a little under 50%. Traditionally, you've done I think closer to 60%. So any explanation on maybe what's driving that delta?
Rod Smith: Yeah, I think you can think about it, Matt as just a mix issue in terms of the types of services that we're actually doing. And it's actually a little higher than what you are suggesting. Our original outlook has a gross margin for services in around 54%. It's still in the mid-50s, with the latest guidance was the $220 million. We have about $120 million, $125 million in directs that we're assuming. But, if you did see any inflection there in the margin, it would really be a mix issue with the services. We're not seeing anything from a labor costs or labor shortages, that's driving any kind of an impact on our services business. Things are working very well. And a lot of it is done internally.
Matt Niknam: Got it. Thank you.
Operator: And our next question is from David Barden with Bank of America. Please go ahead.
David Barden: Hey, guys, thanks for taking the questions. I guess, two if I could. The first one is maybe Tom or Rod, the availability of private capital could really change the complexion of your footprints in Europe starting with PGGM and then scaling up with the Telxius scale now with Allianz or CDPQ. Is that kind of money at that kind of scale available only in the developed market? Or, could those relationships or new relationships pivot and kind of change the complexion of some of the work you're doing in the emerging markets mix? And I guess the second question is, Tom, in your opening remarks, you mentioned that Brazil was doing well improving even. I think that that was kind of an unknown factor with respect to the OI  situation, and the carriers kind of splitting up assets down there. Is that a American Tower specific thing? Or, is just the entire wireless market irrespective of the OI situation just doing better? Thanks.
Tom Bartlett: Yeah. Sure, Dave. On the first one, we're obviously very opportunistic in terms of looking at various forms of capital. But I can tell you that the pension funds, infra funds, there is an extensive amount of capital that's available in all of the markets that we're servicing. So yeah, it is there. And we'll take a look at whether it makes sense for us, whether they're the right partners for us. Our intent here, looking and diversifying the pools of capital that we're using is to provide a platform for us to be able to expand, and expand aggressively if it makes sense to do so. And so in Europe, we’ve set ourselves up with I think, really solid partners in the marketplace, and it really provides a very efficient platform for us to be able to expand. Now the transactions need to be there, and they need to make sense for us and all of those things. But, having those kinds of partners and that kind of capital available, really, I think helps us significantly in terms of being able to expand in those areas quickly. With regards to Brazil, Brazil and I do a shout out to our teams in Brazil. Because, we think that the splitting of the OI portfolio is going to be a long-term positive for the marketplace. Candidly, there are better funded carriers that picked up those particular assets, and it rationalized the portfolios down there quite a bit. And now the spectrum is in the hands of entities, our customers in the market that really want to deploy it, and really want to advance the technology to call him. It's in the marketplace. So we think that particular transaction event in the marketplace was a net positive for us. And as I said, I remain really optimistic on the opportunities in the marketplace and the way our teams are really taking advantage of it.
David Barden: Thanks, Tom.
Tom Bartlett: You bet, Dave.
Operator: And our next question is from Tim Horan with Oppenheimer. Please go ahead.
Tim Horan: Thanks, guys. Two questions. One, can you maybe just talk about the benefits of private finance partners of going private as opposed to just buying your public stock? And secondly, congratulations on the lithium batteries and I know you've been doing some fiber backhaul. Is there a way over time to move into more and more active elements of the carrier networks to get more outsourcing at the carrier networks? And, I guess, would that be net positive, and particularly in emerging markets? Thanks.
Tom Bartlett: Sure. Tim, on the private capital, we looked at the private capital as a very cost effective way of aligning ourselves to very attractive partners, with deep pools of cash to be able to position us and provide us with a platform for some sizeable growth going forward. And that's not an indication that we've got deals in the hopper that we're ready to roll on. But there are some significant portfolios in the marketplace, that may make sense for us going forward. We'll look at each one individually, and whether it does, but having that pool of capital makes sense from a diversification perspective. I'm big on diversification, as you can see, through our portfolio, we have a very broad sense of diversification between U.S. and our international. And within international with developed and developing markets. And I think that rule proves through four forms of capital that we want to ensure that we've got access into all different forms of capital that's available to us, and take advantage of that going forward. So that's really it, I think, on the capital side. On the active versus passive, we've been very successful on the passive side of this. And our intent is to try to continue to stay in that type of role, and leverage that kind of a model. There are certain elements on the active side that we are involved in power, for example. We have a number of initiatives in many of our -- actually all of our markets from a power perspective. Some of the primary power side, where we're the primary supplier of power in markets like Africa and India. And so, from that standpoint, we are part of the kind of the active management of ensuring that their networks are running properly. And as Rod pointed out, we've done some significant investment in areas, whether it's in solar or lithium, to be able to improve our capabilities and to be able to offer that value to our customers, as well as generate value for ourselves, as well as generate value for the -- from an eco-perspective in those markets, and really provide kind of a sustainable platform going forward. We're also very involved in the secondary power side. You look at the United States, for example, and your developed markets. We have thousands of generators in those markets and providing secondary power and backup for our customers there. We're even looking from a power perspective is kind of a virtual power source, from a storage perspective that we might be able to provide, particularly in our international markets, as we continue to really leverage solar, as well as lithium ion. We've already been exploring with wind. We have sites there that have solar panels, where we've deployed 50,000 to 60,000 panels in the region, and we've got wind turbine. So we're trialing a lot of different things. And we're working with a number of different external parties to really be able to leverage their expertise. But when you start to get up into the real active side of the network, as I said, we have really tried to stay away from it. And we will continue to do so. Our customers are looking for more involvement in that area, but that hasn't been our strength going there. But, I mean, to the extent that there are opportunities, and they make sense for us, and we get the right resources and talent to be able to do so, we'll look at it. But that's not part of our major strategy right now.
Tim Horan: Thanks, Tom.
Operator: And our next question is from Jonathan Atkin with RBC. Please go ahead.
Jonathan Atkin: Thanks. A question on U.S. and on India. So U.S. the growth outlook was unchanged at 3%. I just wondered if there's any operational or maybe non-operational factors to think about, as we kind of head into the year, the second-half of the year, it might lead to maybe some upside? Or, is so much locked in under MLA, that you really don't expect much variability? So that's the U.S. question. And then for India, you kind of laid out why you're kind of still at that 0% number. But if it were to deviate during the second-half of the year, would it be due to higher gross activity or lower churn, which is the more plausible outcome for India? Thanks.
Rod Smith: Yeah, Jonathan, this is Rod. So I'll take the first one here certainly. So in the U.S., we are projecting organic tenant billings growth right in that 3% range. It's been consistent, so we did not change that in the outlook. And I'll just highlight a couple of things. The first one is, we are seeing an acceleration in activity and colocation and amendment in the U.S. that we're very excited about. But that acceleration was contemplated when we executed the MLA that we have in place, so a lot of that activity is kind of built in pricing and in within our guidance. So we think, certainly for this year, it's very stable. We also gave longer-term guidance for the U.S., which you can go back and refer to. A lot in that guidance, you can see that the growth rates in the U.S. are accelerating over the next several years.  thanks for the sprint churn. So the other point that I would make is we do have this sprint churn that will begin to roll off in Q4 of this year. The largest single year effect that we'll see from that will be in 2022, it'll continue out to 2024. So there'll be four years of kind of sprint churn. And again, the biggest impact will be in 2022. But you'll see it in our numbers in the end of this year. But that's all baked in within our 3% organic tenant billings outlook. So we couldn't be more excited about the U.S. and its trajectory going forward. And once we get through this sprint churn, we’re expecting kind of an acceleration. And again, I would ask you to go back and refer to our longer-term guidance, and you'll see what I'm referring to in terms of the outlook and acceleration and overall again a growth that we are expecting over the long-term.
Tom Bartlett: Go ahead, Rod, I was just going to say, you can fill in if I miss some pieces on the India question. It's probably tough to kind of have any major inflection given that we're already halfway through. Candidly, the pandemic held back a little bit of our built in Q2, and so I would expect actually a pickup in our build program, so at least from an inorganic perspective in the second-half. As you saw, our churn did drop a bit in the quarter from prior year. And so I would continue to kind of expect that going forward. But generally speaking, I wouldn't expect any major inflections one way or the other in the market.
Jonathan Atkin: Thank you.
Operator: Next, we have a question from Colby Synesael with Cowen. Please go ahead.
Colby Synesael: Great. Just to follow-up on the new colon amendment expectations for the United States this year. I think on your fourth quarter earnings call, you guys had said that you thought that number would be up about 15%, year-over-year that number I think was $134 million in 2020. In response to Matt's question, I thought you might have been mentioned 20% or 25%. But I might have gotten that confused, as I was just looking for clarification. And then secondly, Rod, you mentioned the opportunity to do some refis in the back-half of the year. I'm presuming that's not included in your current per share guidance. But I was wondering if you could help try to quantify or size the amount of debt that you could potentially look to refinance? Thank you.
Rod Smith: Yeah. Colby, so I'll just clarify here on the run rate to the U.S. When I spoke earlier on the call, it's the monthly run rate incremental additions, that'll be up around 20%, or just north of 20%. And that's the driver that is really the long-term value creator that you should be thinking about.
Colby Synesael: And then, 15%, that you had guided to earlier still in play?
Rod Smith: I’m trying to think, yeah, the 15% is still in play. And then on the refi question, as always we're going to be opportunistic in terms of refi. So, as you probably know, we cleared off all of our senior note maturities for 2021. But when you think about refinancing, we're really looking into 2022. And, again, we'll be opportunistic, we'll look at the rate, we'll look at where the market is. And we'll do our calculations and we'll execute when and if and only if it's a creative and good for our shareholders to do so. In terms of just giving you a rough scale, we have next year in around $1.5 billion maturing. So that's probably what you might look at in terms of a refinancing if we were to do anything later this year, that would take out any kind of senior notes for 2022.
Colby Synesael: Great. Thank you.
Operator: And our next question comes from Nick Del Deo with Moffett Nathanson. Please go ahead.
Nick Del Deo: Hey, good morning. Thanks for taking my questions. One in Europe, one in Mexico. First, are the Telxius’ leases structured as traditional leases or MSAs? And do you find that the carriers in Europe are gravitating towards one structure versus the other? And I guess at the end of the day, does distinction matter? And then second, in Mexico, you noted in your prepared remarks that that Red Compartida filed for bankruptcy, and you touched on the near-term financial impact. Can you dimension what sort of contribution you've seen from them over the last few years? And beyond collecting the receivables that are currently outstanding, kind of how you expect things to play out as it relates to new business going forward?
Rod Smith: Yeah, sure. So in terms of the -- make sure I got the questions here. So in terms of the structures in Europe, there's really no significant differences in terms of the structure of the contracts in Europe and in the U.S. Of course, any contract had minor differences, but structurally, they're similar and nothing that would drive any impact, it would be noticed in terms of the numbers in those sorts of issues. In terms of in Mexico, Altan has filed bankruptcy, so we're kind of working through that. I'll point out a couple of things here. Number one is, they do have a remaining term on the leases that's quite long. So we have about six years remaining on all their leases. They might make up about 9% of the Mexico revenue. And so that's kind of the size that they are in terms of the business there. And it's less than 1%, close to 0.5% of the overall company revenue. With all that said, just because they filed for bankruptcy doesn't mean that they're going to leave 1some markets. So we'll be working through that with them and hope that they will restructure and stay in play. I think they're an important player in the Mexico market. They're supported by the government. And they have had a fair amount of success, other than the fact that their overall balance sheet needs some support. So we still expect them to continue, but that will be kind of up to them as we move forward. And, if for any reason, they did exit, we have that six year protection, and then that service still needs to be provided. So those customers would have to move on to another network and that could potentially drive higher CapEx from that perspective to support that customer base on a different network.
Nick Del Deo: Got it. Thank you, Rod.
Rod Smith: You're welcome.
Operator: Our next question is from Batya Levi with UBS. Please go ahead.
Batya Levi: Great. Thank you. A follow-up for the U.S. Can you provide some color on what your long-term guidance had assumed for dish network builds? And how you think the AT&T's dish wholesale deal would impact that? Thank you.
Rod Smith: Good morning, Batya. So yeah, we don't think that the new dish deal will impact our longer-term guidance. Let me highlight here. In terms of our longer-term guidance, I don't want to get into the specifics around dish and any specific contract terms, but they were in our longer-term guidance. And what we laid out was organic tenant billings growth of at least 4% on average over the next seven years, that encompasses 2021 out through 2027. If you normalize that for the sprint churn, it goes up to about 5%. There are two important chunks there in terms of time periods. If you isolate the 2021 and 2022 time period, we're looking at an average organic growth rate of about 2% in the U.S., including the sprint churn that we've all discussed. Normalizing for that, it would be up around 5%. If you take that next step out to 2023 to 2027, we're projecting greater than 5%, even with the residual churn from sprint, and normalized so that we're projecting greater than 6% growth between 2023 and 2027. So dish is in there, we're building site for them today, revenue will start to them in 2022, and ramp over the next few years. They're in that longer-term guidance. And you can see that longer-term guidance is higher in the out years than it is in the early years, because we do expect to see acceleration and a build there, as the carriers build out 5G kind of across the U.S. and deploys a new spectrum.
Batya Levi: Great. Just one follow-up. To the extent that AT&T builds out dish spectrum, is that potentially an amendment to the current MLA or do they have some flexibility?
Rod Smith: Yeah, we're working through those issues. I don't want to talk about the specifics in that contract. We'll leave that between us and dish and AT&T to kind of figure out. But we'll be working with dish and with AT&T to figure out exactly what it means. We do believe that dish’s intent is to build the network substantially in the U.S., that's what our dream contemplates. And, the one thing that I would say is there is a firm revenue commitment within our contract that would not change, depending on an altered build strategy there. So we do certainly have that protection. But we're very optimistic in terms of dish’s intent to build a network and our position to capture revenue there and support them, and help them get that network built.
Batya Levi: Got it. Thank you.
Operator: And I will turn the conference back over to Mr. Khislavsky for final comments.
Igor Khislavsky: Great. Thank you, Leah. And thank you, everybody for joining the call today. Have a great rest of your day.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using AT&T teleconference service. You may now disconnect.